Operator: Good morning, and welcome to the World Acceptance Corporation-Sponsored Second Quarter Press Release Conference Call. This call is being recorded. At this time, all participants have been placed on listen-only mode. A question-and-answer session will follow the presentation by the Corporation’s CEO and his other officers. Before we begin, the Corporation has requested that I make the following announcements. The comments made during this conference may contain certain forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act that represent the Corporation’s expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical facts, as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expressions are forward-looking statements. Factors that could cause actual results or performance to differ from the expectations expressed or implied in such forward-looking statements include the factors discussed in today’s earnings press release and in the Risk Factors section of the Corporation’s most recent Form 10-K/A and other reports filed with or furnished to the SEC from time-to-time. The Corporation does not undertake any obligation to update any forward-looking statements it makes. At this time, it is my pleasure to turn the floor over to your host, Sandy McLean, CEO.
Sandy McLean: Thank you, Casey and good morning everybody. By now, hopefully you have had a chance to see our press release and have had a chance to review the summary of our prepared remarks. And I would just like to say the company is disappointed with the results in the quarter, but remains extremely optimistic about our prospects and opportunities going forward. After saying that, we are happy to open it up to questions. Casey?
Operator: Thank you. (Operator Instructions) We will take our first question from Bob Ramsey with FBR.
Bob Ramsey – FBR: Hey, good morning.
Sandy McLean: Hi Bob.
Bob Ramsey – FBR: My first question for you guys had to do with C structure changes I guess most notably impacts us. And I was wondering if you could comment on whether you will have already implemented changes in the fees that you all charge in Texas and if so sort of what that looks like?
Sandy McLean: Okay, I will be happy to. And it was a benefit of everybody on the call. I will just review some of the changes that were taking place over the last year. The first one is in Texas. Texas historically has had a $10 acquisition fee. That valve was changed recently such that each loan instead of $10 could have a 10% acquisition fee. World is – this change was to compensate the company for its rising cost and they have not nearly changed this law with many years. And because World’s cost a greater of new and formal borrows, we will in fact charge that 10% fee on renewals as World has established in policy whereby we will be charging a 5% fee. On a larger loan, Texas previously provided for a $25 acquisition fee and that has changed to a $100 acquisition fee that is particularly RLL to charge once per year. We implemented these changes on September 16. So it was out there for a couple of weeks during the current quarter. In Georgia, there was a – for the same reasons, they say the state changed the law in which we operate and now allows a 4% fee on their face amount that owns loan up to a maximum of $50. And in Indiana, there was just a change in the rate bands such that, they just had a shift in the rate band that slightly increased the rates and there is not a real major anticipated impact from banks. Now, what should that – how should that – what should we expect the impact of that being on World during the current quarter. I mean, here current fiscal year. Kelly is preparing some schedule and basically, the calls that you see are not earned at the time of the loans, but they are accrued over the life of the loans. We anticipate that the impact on the third fiscal quarter will be somewhere between $1 million and $2 million. The impact on the fourth fiscal quarter will be somewhere between $3 million and $4 million, but the impacts for the current fiscal year will be somewhere between $5 million and $6 million is what we estimate. Now, on a go forward basis, because we have and once again this is kind of a gift, because we don’t know what the impact own volumes, losses and so forth will be, because obviously there may be a reduction in the band because of increases in fees or it may have an increase in losses. These are things we don’t promote, but based on what we did during fiscal 2012 in the number of loans we made, we anticipate on a full year rolling basis that the impact in Texas could be somewhere around $20 million to $23 million. The impact in Georgia could be somewhere around $10 million though we believe that this impact on an annual basis on a go-forward basis could be in the $30 million to $35 million range. Does that answer your question?
Bob Ramsey – FBR: Yes, that’s actually very helpful detail. That’s obviously a significant increase in revenues that you guys are going to have, I know you said there are some pieces you don’t know about how this could affect, I guess maybe the pace renewals or credit, but there are no – the right cause for this issue are this right, it’s really pure revenues where most of which are dropped straight to the bottom lime are straight to the pre-tax income right.
Sandy McLean: That is correct.
Bob Ramsey – FBR: Okay, that’s very helpful. I wanted to ask you obviously you guys highlighted in your prepared remarks that the loan growth has slowed sort of the slowest phase ever at World Acceptance and spend trending down sort of, I guess, directionally consistent with recent quarters, but it seemed to drop by a much more significant amount this quarter, then it has in the recent quarters. I am just curious if you have any thoughts around, is there anything unusual this quarter, why is it that we are seeing the pace of deceleration sort of increase.
Sandy McLean: Well, obviously that’s been a discussion we have had expensively within the company as well as we – during this quarter and in fact in the month of September, we have our conventional meetings. In attending those meetings, we have all the supervisors and above coming in for the discussions about where we are and where we are going and what we have to accomplish and a great deal of that meeting surrounded what’s going on with as far as the number of new borrowers, which is the life of this company. And as I have indicated in the remarks, the new loans to new borrowers is down about 7%. It’s very difficult to say exactly what’s going on and if you ask different people, you get different responses. So the honest answer is certain informations indicates that based on the number of credit reports we are pulling and other things, the number of applications that we are taking are slightly up on a year-over-year basis, but the number of new loans we are making is down. So obviously our approval rates have declined somewhat. And we have not changed our underwriting, so therefore, the quality of the applications that we are taking has obviously declined. So I wish I could tell you that there is a specific thing that is driving this. Like I said, I don’t know if there is more competition or whether it’s – there is lot of oracles out there that indicates those people in the lower part of the spectrum. Their disposable income is growing at a slower pace. I don’t know. I mean, I don’t think fundamentally, our business has changed nor have our opportunities changed, but we are just experiencing kind of abnormal demand situation. I wish I could be more specific, but that’s about close to about a year.
Bob Ramsey – FBR: So seeing nothing of the contrary, I mean, is it reasonable to assume that this is – will continue sort of long at this pace until the economy or whatever it is that’s affecting the consumer changes?
Sandy McLean: I think this quarter will be a very big indicator of what we should expect, because this as you know is our quarter of greatest loan demand, because of the holiday season and so forth. And I think it will certainly, I don’t know whether that’s the results of this quarter will be indicative of what to expect over the next year or whether it’s what to expect over the next four or five years, but I think this quarter will be very important for us.
Bob Ramsey – FBR: Great, that’s very helpful, Sandy. I will pop back out into the queue. Thank you for your time.
Sandy McLean: Okay, alright, Bob. Thank you.
Operator: Thank you. We will take our next question from John Rowan with Sidoti & Company.
John Rowan – Sidoti & Company: Good morning everyone.
Sandy McLean: Good morning John.
John Rowan – Sidoti & Company: Just to be clear, so $30 million to $35 million that’s revenue right that’s not incremental net income.
Sandy McLean: Well, in this case, the revenue as Bob pointed out that is revenue, but the costs are already incurred, so...
John Rowan – Sidoti & Company: Well, the costs are incurred, but we start to adjust for taxes what I am saying.
Sandy McLean: That’s correct.
John Rowan – Sidoti & Company: Okay. Loan growth this year obviously slowed down quite a bit on a sequential basis. I wanted that you kind of attribute to what was actually a very strong quarter of last year? And can you remind me if there was anything in the second quarter of last year where you had almost 13% year-over-year growth, I mean, that specific quarter a lot stronger than what we have seen over the last couple of years.
Sandy McLean: Well, we had to certain extent, I don’t know, there is only slight possibility that it would have a little bit of impact is the way the days fell last year. So there are a lot of payments came in right after the beginning of the third quarter, so that we had a slight impact, but I don’t really think there was any…
John Rowan – Sidoti & Company: Unless there was a peso exchange?
Sandy McLean: Well, I mean the peso definitely has had an impact. As of September 12, the peso to U.S. dollar is 12.86 and this year it’s 13.13, and last year we had a split that went the other way, but that’s not the major part, but it also obviously make the total – it represents about 10% of our total portfolio.
John Rowan – Sidoti & Company: Okay. As loan growth slows, does that change your appetite or actually increase your appetite for share repurchases?
Sandy McLean: I mean, we have been fairly aggressive in our share repurchases anyway. And we intend to continue to do so whether or not the lower loan growth we had. So we are in asset-based facility. So we only get a certain percent of the outstanding loans, so that maybe a limiting factor at some point, but it has not been thus far.
John Rowan – Sidoti & Company: Okay. And then just lastly why do you think charge-offs are trending higher? Is there something specific that’s putting pressure in your customer?
Sandy McLean: Again, that’s very difficult to answer from a standpoint that we continue with the same underwriting guidelines and policies. And we have same collection procedures. This is the third quarter, where we have seen the increasing charge-offs. And as a result of that, we actually had to do additional $1.5 million to our landlords, which was unusual, but what we felt was based on all the circumstances what we felt was the proper thing to do. And it looks like that the current trend is going to continue at least into the third quarter, but as to exactly why I would be just kind of like explaining, growth rates are declining. This is a very difficult thing to put your hands off.
John Rowan – Sidoti & Company: Thanks.
Sandy McLean: We have not generally changed the way we do business.
John Rowan – Sidoti & Company: Okay, alright, thank you.
Operator: Thank you. We will take our next question from John Heck of Stevens.
John Heck – Stevens: Hey guys. Thanks for taking my questions. And yes, I guess not to beat a dead horse, but your standalone demand. One final question I have on that topic is it possible that some of the high end customers are getting – are we gaining access to more traditional source of credit? Are you seeing any shift where the large loan customers might be moving out and there are some different opportunities?
Sandy McLean: I don’t – well it certainly could be, but our mix is continuing to shift slightly towards the larger loan portfolio, but that’s to be anticipated as we move into states like Indiana and Mississippi and so forth. But can I sit here and say this, yes previously possible customers are no longer coming to us, because they have access to credit at lower rates or different facilities, I can’t answer that.
John Heck – Stevens: Okay. And then moving on to credit, you mentioned some of the credit trends. And I am wondering and maybe I interpreted this incorrectly from the last public conference calls. You mentioned some of the changes in underwriting for small balance loan renewals based on the audit, you went, kind of the auditing change you went through last year. I mean, is there any of the delinquency changes and charges potentially related to that or is it really just the customer credit trends?
Sandy McLean: I mean, you bring up a good point. So let’s address it well now, because we probably answered anyway. Certainly, as a result of the material weakness that was identified during last year surrounding the less than 10% loans, we have implemented procedures to monitor that much more closely. And we have actually taken into consideration the impact from an accounting standpoint of what the way we should differ those seasons so forth, but generally speaking, we are not the ones that initiate a renewal type transaction or refinancing. Generally, that’s the customer who may need that $25 or $35 or so forth. And so we have not at this point eliminated those types of loans. We are monitoring them and looking at those very closely. We are doing some things systematically to improve our monitoring over those. And so they have a slight impact on our volume, but I do not necessarily believe it it’s the direct – a major contributing factor towards the increased losses.
John Heck – Stevens: Okay. I really appreciate that color. And last question, the insurance and other revenues, it’s still good component of income, but it’s the growth is declining, I mean, is there not as much usage of this? Is there a different usage of this in different new geographies or how should we think about that?
Sandy McLean: No, it’s still a very important part of our revenue stream. And to a certain extent, we had a change in Tennessee whereby the alternate rates, those that did not allow they sell the ancillary products on loans between 1,000 and 2,000 used to be the capital 1000, it moved to 2000. So those loans that we made in that 1000 to 2000 previously had ancillary products sold, now no longer due. It should be somewhat offset in the revenue. It should be revenue neutral, but it does reflect otherwise going forward it’s still basically very important part of our revenue stream and will probably continue to be even more so as we expand into these larger loan states.
John Heck – Stevens: Okay, that’s helpful. So the way to think about it is have you still gone through the adjustment in Tennessee and so we should receive – I guess we should see that the trend in terms of percentage of revenue mix or growth rates kind of revert to normal levels after this quarter?
Sandy McLean: We believe it’s I mean as far as total mix of revenue that’s I am not really sure how that’s going to play out, but it’s certainly in terms of growth and the insurance and other income it should return to a more normal track.
John Heck – Stevens: Okay, thank you guys for…
Sandy McLean: That will all…
John Heck – Stevens: Thanks a lot for the color of the Sandy.
Sandy McLean: Okay, you’re welcome.
Operator: Thank you. We will go next to Henry Coffey with Sterne Agee.
Henry Coffey – Sterne Agee: When we look at the quarter you had workable gross loan volume growth and the biggest offset to positive net income growth appeared to be I mean personnel cost. You have had a big uptick I am assuming some of it’s because of the bonus, the stock-related – accruing to the stock-related cost probably other things healthcare etcetera, is it fair to say that when we look into 2014 that that growth in personnel costs will moderate and become more a smaller fraction of total volume growth or what’s the outlook in terms of personnel cost?
Sandy McLean: There are three components contributing to this larger than normal increase. The first one as you hear it’s on – is exactly because of the five-year plan as the board put into place, that was implemented roughly a year ago will actually be some toil. And certainly we are accruing our – we are expecting that plan under the assumption that we were certain of those targets and so forth. We may or may not hit them both depending on how that happens that expense may or may not be reversed. But the second biggest component is in our insurance. That has been the largest single growth item and I am talking about our group health insurance. And a lot of that is we can put some of the changes to our plans in place at the beginning of the calendar year and but anyway. And then the third thing is the growth in our normal personnel cost because of the opening of new offices and so forth. But to – I guess to finally answer your question yes we should see a more normal growth rate in our personnel cost in 2014.
Henry Coffey – Sterne Agee: So that the first two items should flat line knowing future growth would be a function of…
Sandy McLean: I would say the bonus aspect and the growth in number of people and so forth certainly should. I don’t know what they expect in the health insurance.
Henry Coffey – Sterne Agee: How much slicing and dicing when you actually do in your application and charge-off experience and a profile is going on?
Sandy McLean: You mean…
Henry Coffey – Sterne Agee: And the data is there what’s?
Sandy McLean: NOI as that charge-off between the sense that we are again determined where it’s coming from and so forth we have limited capabilities on doing those type of analysis is the current phantom because of the data that’s there, but we – I will just leave in that. I believe we have somewhat limited capabilities to do that.
Henry Coffey – Sterne Agee: Alright. Thank you.
Operator: Thank you. (Operator Instructions) We will go next to Bill Dezellem with Tieton Capital Management.
Bill Dezellem – Tieton Capital Management: Thank you. That is Tieton Capital Management. I have actually a quite group of questions. First of all, in response to the first questioner you made reference or I heard that the combined benefit between Texas and Georgia will be $30 million to $35 million on a full year basis of potential revenue. But earlier in the answer I also heard that the regulatory changes would benefit you to the tune of $5 million to $6 million and I can’t quite place exactly what it was that you are referring to there or whether I just simply misheard, would you please?
Sandy McLean: You heard that correct the $5 million to $6 million is the rough estimate on the impact of fiscal 2014. And the other or much larger number is what you possibly could expect on a full year basis after this has been completely rolled out. And I am not going to say in fiscal 2015 it might be some time, some part in the future because these fees while they are charged at the time the loans is made, they are not earned until those loans are paid out, they are earned over the life of the loan. So that’s just what you could potentially expect over a full year once this has been in place for quite sometime.
Bill Dezellem – Tieton Capital Management: Thanks Sandy. And yes you said that it wouldn’t necessarily be next year, but your loans are short enough and maturity that shouldn’t that pretty well be fully rolled out in fiscal ‘15?
Sandy McLean: I mean not necessarily 100% because we do have some larger loans in the state of Texas that may or may not renew and whatever we charge, any loans that we charge larger loans or whatever that we charge during the course of fiscal 2015 may not be completely earned during that year because it will overlap the end of that year. But you are right because of the portfolio turnover and the shorter term nature of these loans I would anticipate a substantial portion of that are being reflective.
Bill Dezellem – Tieton Capital Management: Okay, so to make the math easy for me is the $35 million was the fully implemented benefit, $5 million of that happens this year, the remaining $30 million most of it would happen in fiscal ‘15 next year, but a little bit might go into the following year?
Sandy McLean: No, that’s not exactly where you look at it, because this is not a one-time benefit. This is an ongoing rate increase. If once it’s fully implemented and assuming – and this is based on fiscal 2013 number. So please bear in mind that we could have a change in the net loan demand and or charge-offs, but assuming that we do not, you would expect the $30 million to $35 million impact to be repeated continuously into the future unless they change the law again for some other reason.
Bill Dezellem – Tieton Capital Management: Understood. I was thinking more from an incremental standpoint as I was describing the $5 million this year.
Sandy McLean: That’s okay, that’s fine.
Bill Dezellem – Tieton Capital Management: Okay, great. Thank you. And then you did mention here in the call the cost relative to your stock option program and the question is at what point do you start to reevaluate whether you hit your targets and that we might see expense reductions taking place as a result?
Sandy McLean: We evaluate that on an ongoing basis. It’s just part of our normal quarterly and annual estimates. We especially do it during the budgeting process and during the forecast and so forth. But this is as an estimate it has got to continuously be evaluated. And we may come to the conclusion that we are not going to hit one of those, one or more of those full quartiles or tranches or whatever but then a year later we may come to a different conclusion but the expense impact would change based on the estimates at that point in time.
Bill Dezellem – Tieton Capital Management: And right now you are accruing assuming that you hit the highest level, is that correct?
Sandy McLean: That is not correct.
Bill Dezellem – Tieton Capital Management: What level you are accruing at?
Kelly Malson: We are not accruing the fourth tranche in the Plan B or the grant B the $18 mark.
Bill Dezellem – Tieton Capital Management: But everything else you are accruing for?
Sandy McLean: Currently correct.
Bill Dezellem – Tieton Capital Management: Great, thank you. And then the next question is you mentioned in the press release the extra provision that you flow through this quarter. Would you discuss that in a bit more details that you have up to this point?
Sandy McLean: I thought I have addressed. We have proved this, but again I will try to do so again. We look at many factors on an ongoing basis, whether its charge-offs, what’s happening with our portfolios, what’s happening with our delinquencies and so forth. And based on those factors and the current trends and so forth, we have to evaluate and estimate what the allowance should be. Kelly goes through this. It’s probably the most important estimate that we make on an ongoing basis because our biggest asset is our loan. And based on her analysis and the trends and so forth it was her recommendation that we do add this to the allowance and after she showed me all the facts agreeable. So if in fact these trends the level off and or returns and we may reverse that in later half, but if they continue all on a greater basis then we may have to increase it, but it’s a judgment, it is an estimate that she spends a great deal of time on every quarter and that was her recommendation.
Bill Dezellem – Tieton Capital Management: And then finally would you discuss if any regional differences you are seeing in terms of loan demand and or credit quality?
Sandy McLean: Regional, I can say Mexico is doing a whole lot better than the US, but we are experiencing some of the same issues in all three divisions as far as reduced number of new borrowers. Charge-offs, I cannot tell you right now specifically, which states are doing worse than others, but I suspect that those trends are similar across all divisions.
Bill Dezellem – Tieton Capital Management: Thank you both.
Sandy McLean: Thanks.
Operator: Thank you. We will take our next question from Brian Steck with Mangrove Partners.
Brian Steck – Mangrove Partners: Hi Sandy. Thanks for taking my questions. I have got a couple related to the new fees in Texas and Georgia and then one on the regulatory front. First, in Texas can you talk a little bit about what you are seeing from competitors and the way they are implementing the change. Thank you for being so specific about how you are planning on implementing this or have implemented this. What’s...?
Sandy McLean: And I have to say (indiscernible) but you can’t get to an answer. I really can get an idea what the impact it might have, we just be completely open about what we are doing, but I cannot answer that question. It’s prohibited for us to discuss what we are doing with our competitors. And at this point I mean I do not know whether they are charging 10% on every loan, honestly do not.
Brian Steck – Mangrove Partners: And then in Georgia with regard to the new fees that are permitted there, is that something like you anticipate on new loans, new loans and renewals or is it like Texas where you would expect to take all of it on new loans and a portion of it on renewals?
Sandy McLean: This is a – it’s a smaller fee and we anticipate taking the entire 4% up to a maximum of $50, but it’s on every loan. But really those type of loans in Texas are little larger than overall.
Brian Steck – Mangrove Partners: And then with regard to both Texas and Georgia, how should we be thinking about the potential impact on loan growth, charge-offs those types of things?
Sandy McLean: I don’t think that you really should I mean I don’t know what the impact that the fees will have as this – we don’t think that it will have a major impact, but that’s yet to be determined. So I would think that you would look at the expected loan growth in those states similar to what we experienced elsewhere.
Brian Steck – Mangrove Partners: Okay and then with regard to regulatory in the last quarter as part of your regulatory update you had mentioned that you wouldn’t be surprised if the (indiscernible) had come to visit the company in the not too distant future. Can you give us an update on that have they been in or is it still your expectation that they do so in that timeframe?
Sandy McLean: I don’t know what the timeframe is. I believe we just had our National Trade Association. There is a lot of discussion surrounding CFTB and what it would may or may not do and so forth. I do not believe that it will be in the near future. We just don’t know, but they have not even the issue will be large market participant rules at this point for the installment loan industry. So I do state that we probably expect at some point in time when they do start looking at installment industry that grow based on its size will probably be visited and audited and so forth. But the timing of that I have no idea. I don’t think it’s going to be, certainly don’t believe it’s going to be in fiscal 2014 and it may or may not be in fiscal ‘15 or going on.
Brian Steck – Mangrove Partners: Thank you.
Operator: Thank you. We will take a follow up from Henry Coffey [Sterne Agee].
Henry Coffey – Sterne Agee: Yes, I was wondering if you could revisit this I know you don’t like to give guidance, but if we revisit the situation in Texas in Georgia, we are talking about $30 million of potential revenue assuming 85% of that gets realized in 2014 and at tax – your current tax rate, that’s about $16 million worth of earnings or $1.36 per share, it’s like 15% to 20% of what you are in now. So this is a dramatic source of upside, is that a correct way to really be thinking of it?
Sandy McLean: I mean I firmly believe it’s a material item and we have got about 300,000 loans in Texas, and we made about 600,000 loans last year. We have got a lot of locations in Texas. So the map would indicate the numbers that I referred to, but the reality maybe somewhat different, because of we don’t know what the overall impact will be. But I think that you are right, I don’t like to giving guidance, but this is just the mathematical calculation based on the impact that it would have been generated if based on the loan volume of fiscal 2012. And dancing around the circles, but I can’t be more specific than I am being.
Henry Coffey – Sterne Agee: I think you are pretty focused, nice stance. On the share buyback front where exactly are you in terms of authorization and actual resources and how likely are you to be doing something during the December growth quarter?
Sandy McLean: We have remaining $52 million now under the current authorization. We will likely be buying back stock during growth season this year as we have not in the past, but we will likely be doing so this year, because we have access to credit, additional access.
Henry Coffey – Sterne Agee: And how much?
Sandy McLean: I don’t know I mean a lot of that will tend to fund the success of the growth season and other factors.
Henry Coffey – Sterne Agee: Alright, thank you.
Sandy McLean: You’re Welcome.
Operator: Thank you. We will take a follow-up from Bob Ramsey [FBR]. (Operator Instructions)
Bob Ramsey – FBR: Thanks for taking the follow up. Just wanted to ask you if you could provide any updates on the CFO search?
Sandy McLean: We have had a lot of great candidates, and we are in the process of evaluating those candidates. And I would like to think that our decision will be made in the very not too distant future.
Sandy McLean: Okay, great thank you.
Operator: We will take our next question from Clifford Sosin with CAS Investment Partners.
Clifford Sosin – CAS Investment Partners: Hi, thank you for taking my question. You mentioned earlier that you don’t expect to see a meaningful improvement in the charge-off environment in the near future. I assume you are saying that based on some metrics that you are looking at be it most recent delinquencies and/or (indiscernible). Do you mind just elaborating on why you expect the charge-off environment remains challenged for a while and help me to understand how long you think that is based on what you are looking at?
Sandy McLean: I could tell you that we went 16 quarters with a decline in our year-over-year charge-off ratios. The last three, this is the third quarter in a row where we have seen an increase in those annualized charge-off ratios. I don’t give a prediction of what’s going to take place in next year but just based on our current delinquency levels and has indicated that he expects the third fiscal quarter will be similar to what we have experienced over the last three. He has not indicated beyond this period further or not we have a – or this is as ongoing trend or not. And Mark can you add to that.
Mark Roland: As the crystal ball when it goes out so far, we are half way or more than half way through the current first month of the new quarter, it’s like realistically got a good feel for what’s happening in October and probably November, December is foggier. But the trend looks very similar to where we were for the prior quarter in terms of having increase in year-over-year charge-offs farther than that is I have no idea.
Clifford Sosin – CAS Investment Partners: Got it, that’s very helpful. And then in terms of the impact on the pricing changes on loan demand, maybe – since you have made the changes in Texas and they had been in place now for four weeks or five weeks it sounds like, have you seen any impact on loan demand in that period of time as a consequence of the changes?
Mark Roland: Not at all, and then – and realistically this – for the first time in Texas for example there we will see a competitive advantage to those companies that perhaps do not utilize all the fee. We obviously haven’t gotten to the point of renewing a loan in Texas under the new law. So any reduction fee that we might have on that loan compared with anyone else is an unknown. But certainly it brings into play a little bit of competitive pricing and that’s yet to play out in terms of what that does. But for loan volumes that occur during the second half of September and the first half of October they are very consistent with where we have them.
Clifford Sosin – CAS Investment Partners: Okay, great. Thank you.
Operator: Thank you. And we will take another follow up from John Rowan [Sidoti & Company].
John Rowan – Sidoti & Company: Hi guys. Just one quick question, the stores that you opened it looks like you are up about 20 sequentially. Is that kind of a fair run rate to go forward, I am not sure if you guys addressed kind of the store opening plans for the remainder of the year?
Sandy McLean: There is a plan and it should be in the information that was disclosed. But I believe the plan for fiscal 2014 is to open 60 offices in the U.S. And I believe even 16 or 17 in Mexico. Mexico, they won’t even start – generally don’t start opening until the first of the calendar year. But we should be well on the U.S. openings.
John Rowan – Sidoti & Company: Okay, very good. Thank you.
Operator: Thank you. Mr. McLean it appears that we have no further questions. I will turn the conference back over to you for any additional and closing remarks.
Sandy McLean: I just want to thank everybody for taking the time of the day to and your interest in World Acceptance Corporation. Everybody, have a nice day. Thank you. Thank you, Casey.